Operator: Good morning, ladies and gentlemen. And welcome to Universalâs Second Quarter 2022 Earnings Conference Call. As a reminder, this conference call is being recorded. I would now like to turn the conference over to Arash Soleimani, Chief Strategy Officer.
Arash Soleimani: Good morning. Thank you for joining us today. Welcome to our quarterly earnings call. On the call with me today is Steve Donaghy, Chief Executive Officer; and Frank Wilcox, Chief Financial Officer. Before we begin, please note todayâs discussion may contain forward-looking statements and non-GAAP financial measures. Forward-looking statements involve assumptions, risks and uncertainties that could cause actual results to differ materially from those statements. For more information, please see the press release and Universalâs SEC filings, all of which are available on the Investors section of our website at universalinsuranceholdings.com and on the SECâs website. A reconciliation of non-GAAP financial measures to comparable GAAP measures is included in the quarterly press release and can also be found on Universalâs website at universalinsuranceholdings.com. With that, I will turn the call over to Steve.
Steve Donaghy: Thank you, Arash. Good morning, everyone. We reported a 12.8% annualized adjusted return on common equity in the quarter an impressive feat in the current environment. Direct premiums written growth of 12.4%, accelerated from 8.5% in the first quarter of this year and significantly outpaced an 8.5% policies enforced decline. In addition to rate increases, we continue to optimize and rebalance our portfolio, increasing exposure to more profitable regions while reducing exposure to less profitable geographies. Our capital position remains strong at both of our insurance subsidiaries, and on an enterprise wide basis. And I'm particularly proud of the robust reinsurance program that we completed prior to the June 1 renewal date. Despite the challenging reinsurance market, our program includes full protection for both hurricanes and tropical storms as no gaps in coverage and no co-participation and provides coverage across multiple events. We are well prepared for hurricane season and expect the actions we've taken to bear fruit in future periods. I'll turn it over to Frank to walk through our financial results. Frank?
Frank Wilcox: Thanks Steve and good morning. Adjusted EPS was $0.47 down from $0.65 in the prior year quarter, with a decline mostly attributable to a higher net combined ratio, partially offset by higher commission revenue in net investment income. Core revenue of $301.6 million is up 8.7% year-over-year, with growth primarily stemming from higher direct premiums earned, net investment income and commission revenue. Direct premiums written of $532.5 million were up 12.4% from the prior year quarter, including 13.2% growth in Florida and 8.3% growth in other states. Direct premiums earn of $428.8 million were up 9.2% year-over-year. Rate was the main driver of premium growth, particularly given the policies  decline as Steve mentioned in his remarks. The net combined ratio was 100.9% up 3.6 points compared to the prior year quarter. The increase reflects a higher net loss ratio partially offset by a lower net expense ratio. The 72.3% net loss ratio was up 7 points year-over-year, with the increase mostly attributable to a higher initial accident year attritional loss pick associated with the current Florida claims environment and inflationary and weather trends, partly offset by lower adverse prior year reserve development as a percentage of net premiums earned. The 28.6% net expense ratio improved by 3.4 points year-over-year, reflecting lower renewal commission rates paid to distribution partners, economies of scale and disciplined expense management. During the quarter the company repurchase approximately 283,000 shares at an aggregate cost of $3.5 million. The company's current share repurchase authorization program has $10.4 million remaining as of June 30, 2022 and runs through November 3, 2022. On July 19, 2022 the board of directors declared a quarterly cash dividend of $0.16 per share of common stock payable on August 9, 2022 to shareholders of record as of the close of business on August 2, 2022. With that, I'd like to ask the operator to open up the line for questions.
Operator: Thank you.  And I'm currently showing no questions at this time. I'd like to turn the call back over to Steve Donaghy for closing remarks.
Steve Donaghy: Thanks . I'd like to thank all our associates, consumers, agents and our stakeholders for their continued support of Universal. Have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.